Operator: Good afternoon. My name is Sayeed, and I will be your conference facilitator. At this time, I'd like to welcome everyone to Intuit's First Quarter Fiscal 2012 Conference Call. [Operator Instructions] With that, I'd like to turn the call over to Mr. Matt Rhodes, Intuit's Director of Investor Relations. Sir, you may begin.
Matthew Rhodes: Thank you very much. Good afternoon, and welcome to Intuit's First Quarter 2012 Conference Call. I'm here with Brad Smith, our President and CEO; Neil Williams, our CFO; and Scott Cook, our Founder. Before we start, I'd like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit's results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2011 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit's website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in this report are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP numbers in today's press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I'll turn the call over to Brad Smith.
Brad D. Smith: Okay. Thanks, Matt, and thanks to all of you for joining us. I'm pleased to share that we're off to another strong start in fiscal 2012. First quarter revenue was $594 million, representing an increase of 12% versus last year. Our Small Business Group led the way in the quarter, growing revenue 13%, making it the seventh consecutive quarter of double-digit revenue growth in Small Business. Across-the-board, our results are in line with our expectations and give us confidence to reiterate our guidance for fiscal 2012. As you know, we typically report a loss in the first quarter of each fiscal year. The good news is our operating loss this quarter narrowed significantly compared to the first quarter last year, reinforcing the strengthening benefit of our ongoing shift to more recurring, reliable Connected Services revenue. We're often asked how we continue to produce the kind of growth we've been delivering despite a volatile macroeconomic environment. The answer is simple, secular tailwinds, they're overpowering any cyclical uncertainty. We are well-positioned in capitalizing on the long-term structural shift in Connected Services. We're seeing the impact of this structural shift in each of our businesses. For example, in Consumer Tax. The software category has grown 6% on average over the past 5 years, far outpacing any other tax prep method. Professional tax preparers grew a modest 1% and tax stores and manuals declined during the same time period. In Small Business, our online and mobile solutions are our fastest-growing services. We now have 300,000 QuickBooks Online customers, 300,000 Website customers, 200,000 Online Payroll customers and over 100,000 customers using our newer mobile solutions. And in Financial Services, our mobile banking customer base has tripled over the last 12 months, now totaling 1.2 million end users. Intuit has another strategic advantage, 15 million installed customers. As the old adage goes, it's easiest to sell to the customer that you already have. And we're doing just that. We're enriching the mix as our customers rapidly adopt Connected Services. This generates the recurring revenue stream that I mentioned earlier, as well as favorable lifetime value economics for Intuit. In addition, we're also benefiting as customers attach additional services and adopt more full-featured offerings that carry a higher average selling price. Let me share a couple of examples to illustrate the power of this favorable mix shift. QuickBooks Online comes with the recurring revenue stream and a lifetime value that is 20% higher than that of a QuickBooks Pro desktop customer. Posting 40% year-over-year subscriber growth in the first quarter, QuickBooks Online is one of our fastest-growing connected services. In Payroll, the rapid growth in our Online Payroll solution, the increased success in attaching direct deposit and a favorable mix shift towards higher-end products are all driving higher revenue per customer. Combine these trends with customer retention rates in the mid-80s, and we have a large and growing Payroll customer base in which we can sell new solutions. While enriching our mix and maximizing our up-sell and our cross-sell opportunities are excellent leverage for growth, we're also staying laser focused on growing our categories by converting to nonconsumption. Our teams are innovating in key areas and are striving to simplify our first-use experience for users, making it easier for new customers to get up and running on our products and services. This will continue to expand our categories and, over time, will convert millions of consumers and small businesses who do not currently take advantage of digital solutions. Some examples include GoPayment, which as you may recall, enables small businesses to accept payments anywhere on mobile devices. Over 70% of stand-alone GoPayment customers are new to our Small Business franchise and GoPayment is also attracting customers who sign up for a broader set of payment services. Another great example is our recently released Mint for the iPad, which makes it easier for consumers to interact with their personal finances on the go. Early feedbacks have been very positive on this application, earning 4.5 out of 5 stars in the Apple App Store. When you put it all together, these opportunities are a reflection of our enduring strategy to capitalize on the long-term shift in Connected Services. Our results in the first quarter reinforce that our strategy is working. Our 3-point growth strategy remains unchanged. First, to drive growth in our core businesses, which benefit from high share, low penetration and a superior Net Promoter Score relative to competitive alternatives or other substitute methods. Second, to build adjacent businesses and enter into new geographies, which we expect to add 1 to 2 points of growth over the next several years. And third, to accelerate our company's transition to Connected Services, which now represents 62% of total revenue, with over 35 million customers using our hosted offerings. I am encouraged by our results this quarter, but we realize we have plenty of game left to play this year, so we're staying focused. With that, I'm going to turn it over to Neil, who will provide the financial details.
R. Neil Williams: Thank you, Brad. We'll start with total company performance for the first quarter of fiscal year 2012. Our financial results were a revenue of $594 million, up 12%. A non-GAAP operating loss of $29 million and GAAP operating loss of $94 million. A non-GAAP net loss of $0.10 per share and a GAAP net loss of $0.21 per share. As Brad mentioned, this represents significant improvement in our operating results versus the same period last year. Turning to business segment highlights. Total Small Business Group revenue grew 13% for the quarter. Within Small Business, Financial Management Solutions revenue grew 9% for the quarter. QuickBooks Online and Enterprise Solutions customers grew 40% and 28%, respectively, again contributing to an improved revenue mix. These 2 products combined now represent more than 20% of Financial Management Solutions revenue on an annualized basis. Websites, supplies, support and other services represent almost 50% of FMS revenue and are growing in the low-teens collectively. QuickBooks Desktop represents the remaining 30% of FMS revenue. Employee Management Solutions revenue grew 13% for the quarter, driven by online growth, improved direct deposit attach and mix. Online Payroll subscribers grew 20% and we've extended strategic partnerships to expand distribution of our new online Intuit Full Service Payroll solution. Payments Solutions revenue grew 19% in the first quarter. The number of merchants grew by 11%, with 1% growth in volume per merchant, which drove most of the increase in revenue. Adjustments in rates and fees, including those related to the Durbin amendment, benefited payments revenue by a few basis points in the quarter. I want to talk for a second about how we measure our performance in Small Business and some changes we're making to better communicate our performance as we continue to shift to Connected Services. Historically, we focused on QuickBooks Desktop unit growth as a proxy for the health of the business. But now, approximately 70% of Small Business customers enter the Intuit franchise via Connected Services, including QuickBooks Online and other services, up from 40% in 2008. To reflect the shifting nature of our business, we've made the following changes to the fact sheet. We provided revenue breakdowns by Connected Services and product revenue for all reported segments. We've added a more granular breakdown of the Financial Management Solutions revenue, added the total number of Small Business customers, added the total number of Online Payroll subscribers and made some changes to the way we disclose QuickBooks units to align with internal metrics, which tie more closely to revenue. We hope these changes give you a clear picture of our current performance and future growth potential, and we welcome your feedback. Now back to our segment results. Our Consumer Tax revenue totaled $41 million in the first quarter, up $12 million from last year. The increase is due to more people taking advantage of the filing extension and completing their tax returns by the October 17 filing deadline. TurboTax for 2011 will go on sale in retail stores on November 25 and will be available online on December 1. The Financial Services segment grew revenue by 9% in the first quarter. We're adding financial institutions and end users in line with our plans and, as Brad mentioned, we've done an excellent job of adding new services like our mobile offerings. Revenue in our Other Businesses segment declined 3% in the first quarter. The decrease is primarily the result of a tough comparison for Quicken against the same quarter last year. Shifting to the balance sheet. The sound financial principles that support our strategy and objectives have not changed. We continue to generate strong cash flows in line with our operating income and maintain a strong balance sheet. Over the long term, we expect double-digit organic revenue growth, and we expect to grow revenue faster than expenses. We always seek to deploy the cash we generate to the highest-yield opportunities, and we target risk-adjusted returns of greater than 15%. Beyond internal growth investments and M&A, we consistently return cash to shareholders. On October 18, we paid our first cash dividend to shareholders and our board approved a $0.15 dividend for our fiscal second quarter to be paid on January 18 to shareholders of record as of the close of business on January 10. Also in the first quarter, we repurchased over $250 million worth of our shares, leaving $2.4 billion remaining on our authorization. It's important to note that we've reduced our share count by 5%, net of shares issued through our stock-based compensation plans, over the last 12 months. Finally, turning to our guidance. As Brad mentioned, we are reiterating our fiscal year 2012 guidance. Revenue of $4.185 billion to $4.285 billion or growth of 9% to 11%; non-GAAP operating income of $1.4 billion to $1.425 billion, growth of 12% to 14%; GAAP operating income of $1.185 billion to $1.21 billion, growth of 18% and 20%; non-GAAP diluted EPS of $2.85 to $2.94 or growth of 14% to 17%; and GAAP diluted EPS of $2.38 to $2.47 or growth of 19% to 24%. You'll find a summary of our segment guidance for the year on our website. For the second quarter of fiscal 2012, we expect revenue of $1 billion to $1.02 billion; non-GAAP operating income of $210 million to $230 million; GAAP operating income of $155 million to $175 million; non-GAAP diluted EPS of $0.43 to $0.47; GAAP diluted EPS of $0.30 to $0.34. Last year, you'll remember that we saw tax revenue, as well as operating profit, pushed from our second fiscal quarter to the third quarter. We're expecting to return to a more typical consumer tax revenue split between the second and third quarters this year. And we expect the shift to Connected Services to continue to improve revenue and profitability in our fiscal fourth quarter. We're anticipating another competitive tax season and allocated our resources appropriately. Given these moving pieces, we want to provide additional transparency until our expected results in the back half of the year, so we're providing EPS guidance ranges for the third and fourth quarters. For the third quarter of fiscal 2012, we expect non-GAAP diluted earnings per share of $2.45 to $2.50, GAAP diluted EPS of $2.34 to $2.39. And for the fourth quarter of fiscal 2012, we expect non-GAAP diluted EPS of $0.06 to $0.08, and a GAAP loss per share of $0.02 to $0.04. As we stated in August, our guidance reflects confidence in our ability to grow but also considers a wide array of macroeconomic variables. It does not assume improvement in the macroeconomic environment. And with that, I'll turn the call back over to Brad.
Brad D. Smith: All right, thank you, Neil. As you can see from the results we discussed today, the long-term story remains the same. We're benefiting from a secular shift, a shift towards Connected Services, and we have a durable strategy that is growing our categories and increasing our share. We're in a digital jet stream. Consumers and small businesses are increasingly demanding access to applications any time, anywhere and on any device. That demand will only get stronger with the proliferation of mobile devices. Our job is to put innovative products on our customers' hands and to make it inconceivable that they can go back to manual or competitive methods to do their work. We recognize how distracting it can be when the predominant news of the day focuses on the challenges in our global economy. But we feel very good about the resiliency of Intuit's business model and the consistent performance that we've been able to deliver. I'm proud of our results so far this year and I'd like to thank our employees for their hard work. And with that, let's open it up to you for your questions.
Operator: [Operator Instructions] We have a question from Peter Goldmacher from Cowen and Company.
Peter L. Goldmacher - Cowen and Company, LLC, Research Division: I wan to ask you 2 quick questions. First, Brad, would just love your thoughts on the H&R Block-TaxACT deal getting called off, and what you think that means for you guys. And a little follow-up. During your Analyst Day, you talked about some of your mobile initiatives and social initiatives and you made very clear comments that as they were successful, they'll work back into your numbers, you thought you'd be able to drive better growth. We'd love some anecdotes or anything you saw happen in the quarter that would add color to what you guys were saying at the Analyst Day.
Brad D. Smith: Let me start with H&R Block and TaxACT. Clearly, we had been preparing for either scenario and outcome, and we felt we were prepared for whichever way it went. Obviously, the decision's been made, we have a lot of respect for both competitors. We also know both competitors really well. We believe we have a game plan in place that will allow us to continue to do what we've done since we've competed with both of them for years, and that is to continue to grow the category and continue to take share. So that's how we feel right now about that decision. In terms of mobile and social, our teams continue to create innovative new ways to help customers solve problems through mobile devices. Examples this quarter were the continuing growth of our ISS banking customers on mobile devices. I mentioned that, that customer base has tripled over the last 12 months, 1.2 million users. We also have Mint for the iPad, it was an exciting product that was launched to rave reviews and we're excited to see the early results from that as well. I just finished up a trip around all of our sites, visiting 15 sites in the last 30 days, and had the chance to look at some of the neat things that our engineers are working on in the pipeline. And I will tell you, I've never seen such momentum behind an initiative as what we're seeing right now behind mobile. So lots of good stuff in the pipeline, some good things in the market, some very positive early results and we'll have to stay tuned to see how much impact they have, but we're pretty encouraged.
Operator: Our next question comes from Brent Thill from UBS.
Brent Thill - UBS Investment Bank, Research Division: Just on the Payment business, do you expect the growth rate to change throughout the year? I know it sounds like -- I don't know how many -- the number this quarter, how much of that was one time versus recurring.
Brad D. Smith: So our Payments business is really building some momentum. As you heard, our merchants grew up 11%. Total charge volume was up about 3% and we're seeing really strong growth in our GoPayments application, which continues to accelerate as more customers want to use mobile devices. We did get a benefit from Durbin, that was a couple of 2 to 3 points. The rest of it was all organic growth and based upon what we're seeing in the market and our game plan, we believe we're going to continue to have a strong year in Payments throughout the year. And what you're seeing in these results, it's not one time. This is actually organic and, we believe, ongoing growth.
Operator: Our next question comes from Laura Lederman from William Blair.
Laura Lederman - William Blair & Company L.L.C., Research Division: Can you talk a little bit about the recent outage. During the Analyst Day, you talked about some of the measures you're taking to change that, can you tell us a little bit about what happened? And secondarily, can you give us a little more update on GoPayment, to the acceptance there, whatever metrics you're willing to share to help us understand the growth in that.
Brad D. Smith: Let me talk about the outage. You're right, over the last 1.5 years to 2 years, we've recognized, since we've become more of a Connected Services company, the most important feature a customer want in any of those products is always-on delivery, 24/7 availability. I'm proud to say, the company, that we have made a lot of progress but clearly, we're not all the way across the finish line as evidenced by an outage that our banking customers witnessed about 1.5 weeks ago. We had many of our banking customers that were without Online Banking capabilities for several hours. It is deeply disappointing and I can tell you that it is highly mobilizing for us as a team. What basically happened was we had a severe hardware failure. It created an electrical short that took out 3 independent UPS systems and it also corrupted power, so that our fail-over capability did not operate the way it should have. We have gotten those banks back up online. We've worked directly with each of them to ensure that we've made them whole and we've taken the necessary actions in that particular business unit to make sure that we have shored up any deficits that we've discovered. I will tell you that this is a journey for any company that does business online, it's one we take very seriously and obviously, from Investor Day, we prioritized it. And we're going to have to learn quickly from these issues and make sure we're putting belts and suspenders in place, that we prevent this from happening as we look ahead. In terms of GoPayment, several key indicators right now, the customer growth is up over 800% since the first of the year last year. We're now processing about $5 billion in transaction volume on an annualized basis through GoPayment. And 70% of the customers coming in are new to Intuit. So they're incremental customers. So all of those for us are very positive indicators that this is a business model that we like as we look ahead, and it's having a big impact on customers and also on our economics as well.
Operator: Our next question comes from Walter Pritchard from Citi.
Kenneth Wong: This is Ken Wong for Walter Pritchard. Just 2 quick questions. On your breakout that you guys have now, QuickBooks Desktop looks like continues probably growing low-single digits, should we continue to expect that to be a growth business going forward? And then second, on the GoPayment, that 70% of new incremental users, are you guys starting to see any cross-sell across some of your other products for these GoPayment customers yet?
Brad D. Smith: Yes, so let me start with QuickBooks Desktop. The good news is we're getting past some grill-over challenges we have when we offered a free version at Simple Start over a year ago. We no longer offer that. So the year-over-year comparison, a little challenging, but as you pointed out, you're seeing some low-single digit growth in the overall QuickBooks units. I think the reality on desktop is similar to what we've seen in other business units like TurboTax and some of the other products that are shifted more to online. Desktop will not be a robust grower going forward as more customers want their data on the cloud and they want to access it through online capabilities and mobile devices. That's why we're seeing QuickBooks Online growing at 40%. At the same time, I will tell you that our engineers have worked to get that is out of the C drive and up into the cloud for desktop customers so they can access their data through mobile devices. So that will continue to make QuickBooks Desktop a relevant product. But I would look at the total QuickBooks unit growth because that's how we manage it, total number of customers and not a particular product SKU. So that's kind of how we look at QuickBooks Desktop. In terms of GoPayment, yes, we are starting to see some cross-sell. In fact, one of the things that we're delighted by is the customers that come in on GoPayment also go ahead and sign up for other Payment services. And so we're setting to see them expand their relationship with us, and we hope that will become a new front door for Intuit and eventually we can sell additional products and services to them, whether it's Websites or Small Business Accounting or Payroll. Still early days there, but we're starting to see the first signs of that capability.
Kenneth Wong: And Neil, just a follow-up. Is there going to be a quarterly breakout of the segment revenue? Or is it just going to be the fiscal year?
R. Neil Williams: Ken, we'll continue to do this each quarter, as we have in the 10-Q, we'll put it over in the fact sheet as well.
Operator: Our next question comes from Adam Holt from Morgan Stanley.
Jennifer A. Swanson - Morgan Stanley, Research Division: This is Jen Swanson calling in for Adam Holt. I wanted to ask about the total Small Business customers metric, which I think is also new this quarter in the metrics page. And it looks like, overall, the Small Business customers have been pretty flattish for the last 9 quarters, not entirely surprising given all that's been going on, but clearly, Intuit's grown pretty strong over that period. So can you talk, I guess, firstly, about kind of the trends you're seeing there. Obviously up-sell is what's kicking in, but when do you expect to see that number start to grow as well given all the front door initiatives that you have going on? And then secondly, I know in the past we've talked about QuickBooks Online being largely additive to the business model and attracting net new customers to Intuit. I'm just sort of thinking about that versus flattish customer growth, how do you reconcile those 2 items?
Brad D. Smith: So I'll start first with total Small Business customers. I don't need to talk about the macroeconomic conditions and quite frankly, we see it as an opportunity and not a crutch. So we're going to put that to the side and tell you this is why -- one of our single biggest focus areas in Small Business this year is getting new customers into the franchise. I will tell you that what we are dealing with right now is a little bit of apples and oranges when you look at what we're counting in our total Small Business customers and the things that we're trying to do as we look ahead. So number one, we've done some things inside of the Small Business space like eliminate free Simple Start. We don't have that going forward, and we brought in hundreds of thousands of customers in that product line, which going forward, won't be one of the offerings. So why not run-off of that. That's good news from an economic perspective. We also think we have found out a way to attract these customers. We do have a little bit of a compare challenge in the moment. The second is we're making some decisions as we speak to do things like consolidating platforms in Payroll. We consolidate a couple of online Payroll platforms onto the PayCycle platform we bought about 2 years ago and when you do that and you force a customer migration, you do have some attrition challenges when you're getting customers from one platform to the other. So net-net I would say that right now the 5 million Small Business customers you see is a, indicative of where we are but not indicative of where we plan to be. I think we have a good product lineup, we have a laser focus in the Small Business Group to accelerate that growth and I think we have new offerings, especially those that are working on mobile devices that will help us grow that Small Business franchise. A little bit that I can tell you though, it was just about 24 months ago, that number was a little closer to 4 million, 4.2 million. So what you're looking at on the fact sheet, that only shows a relative stall pattern. But I don't think it's going to be indicative of what you'll see from us as we look ahead. Okay, on QuickBooks Online, the second question you asked. Is that additive. It is additive for us. We're seeing right now in the neighborhood of somewhere between 60% and 75% of those customers that come in on QuickBooks Online are new to the category and new to Intuit. And so we do see those as incremental customers. In fact, we're seeing there earlier-stage companies that are looking for the featured functionalities that QuickBooks Online offers. And they also tend to look for anytime anywhere access. And so we are seeing those incremental customers. As we see more of this mix shift go to online, I think that will be one of the reasons why you can count on us looking to accelerate our total Small Business base.
Scott D. Cook: And Jen, this is Scott Cook. Your question had multiple parts, I think one other part that addresses your question is how do we grow and continue to grow when the units that we report there are not growing at the same rate. And that's due to a richening mix. Because of QuickBooks Online and QuickBooks Enterprise, as customers find those SKUs, what revenue we get per customer goes up compared to QuickBooks Desktop. So as the conversion and transitions that you've heard Brad describe occur, our revenue per customer rises and continues to grow.
Operator: Our next question comes from Philip Rueppel from Wells Fargo.
Philip C. Rueppel - Wells Fargo Securities, LLC, Research Division: Brad, I think you mentioned retention of around 80%, I wasn't sure if that was QuickBooks Online customers or just Payroll. But at any rate, as you get more online customers, retention rate is going to be increasingly important, are you happy with where it is now? Have you done any analysis on reasons for nonrenewal? Could you just share some thoughts around that whole renewal and retention issue?
Brad D. Smith: Yes, sure, Philip. So the number that I mentioned was related to Payroll. About 1.5 years ago, we had retention rates in the low-80s, we've now gotten it up into the mid-80s and I'm very excited about how our Payroll team has been able to improve retention. Am I happy with it across the company, the answer is no. I think we have discovered real opportunities to improve the first-use experience on many of our products. In fact, we find the attrition issue tends to happen in the first 90 days. A customer comes in, begins to use the product and if they don't find it easy to use or they can't get to the customer benefit quickly, then will quickly abandon and go back to their prior method. And that's why we talked about at Investor Day, one of the biggest opportunities we have is to drastically improve the first-use experience. Today, for every 100 customers that use our product, we average between 2 or 3 that will actually come back and use it a second time or to stay with the product. If we can simply add one more customer to that to go from 2 to 3, that is 5 million customers for us, that's 5 points of growth for the company. So big opportunity. We're not pleased at where we are across-the-board, some products are doing better than others. I think our Payroll team is probably ahead of the pack and they're finding good ways to improve their retention.
Operator: Our next question comes from Gil Luria from Wedbush Securities.
Gil B. Luria - Wedbush Securities Inc., Research Division: When you talk about the positive mix shift in Payroll is one of the examples where you talked a lot about the mix shift to Online. But you also recently introduced the full-service products, the $99 a month price point, how is that product been doing early on? How has the competition reacted to that product?
Brad D. Smith: We call it the Intuit full-service Payroll product, and just to give people a quick context as to what it does, it guarantees accuracy on Payroll taxes and the tax filing. So it's 100% guarantee. We have automated what often other companies have to provide through human capital, we've written an algorithm to prevent payroll mistakes and make it easy for you to get the benefit of a full-service payroll solution at basically the price of a do-it-yourself solution. And the early results have been very positive. In fact, we've announced several strategic partnerships with companies like HOSCO and Bank of America who have chosen the solution over competitive alternatives in the market. Clearly early days, but we're optimistic about the early results. And I think this has a chance to help us expand our presence in the Payroll business and potentially create a disruption alternative versus some of the other methods that's been out there for years.
Gil B. Luria - Wedbush Securities Inc., Research Division: And then the second question on your app strategy, I mean, you mentioned Mint for iPad and the good reception for that. But just over the last couple of years, you've added probably a couple of dozen of these mobile apps and I was wondering whether you're willing to elaborate a little bit on how you expect to monetize. Some of these are partial functionality, some of these incremental functionality, how do you expect to monetize these apps. Because within the iTunes Store and the Android store, you probably can't charge much for them, how do you end up monetizing them?
Brad D. Smith: Yes, Gil, there are several monetization models we have. As you've mentioned, some of them are extensions of an existing product like QuickBooks Desktop where you can get your data into the cloud and then access it through mobile devices. That monetization model is we're now introducing a subscription service for QuickBooks Desktop. You can get the upgrades as a part of subscription and you can also access your data in the cloud and on mobile device. So it's changing how we charge for QuickBooks Desktop. We have others that are transaction fees like GoPayment where there's no subscription fee but it's 2.7%, a flat transaction fee for any transaction that you do for GoPayment. We also have others like Mint where we have the end-user paid model. Sort of like regeneration we have on the website, we do the same thing through the mobile device. I will tell you that we are monetizing these. We have tens of millions of dollars already on assets we've got out in the marketplace and the growth rates are accelerating very quickly. And the more we learn, the quicker we're able to accelerate the progress.
Operator: Our next question comes from Michael Millman from Research Associates.
Michael Millman - Millman Research Associates: I wanted to follow up on an earlier question and then I have a follow-up besides that. And that's regarding the conversion rate, possibly, the average 2% to 3% who start, who remain, is that true also for TurboTax?
Brad D. Smith: No, it's not. In fact, when we talked about this, Michael, at Investor Day, we talked about -- we had a range and some of our products are doing much better on that. But when you put them together and you have an average, I would say we're in the low-single digits for many of the products. We have others that are much higher than that. TurboTax actually happens to be the best in the company.
Michael Millman - Millman Research Associates: I think you had indicated that you had one that was 20%, does that mean TurboTax is the 20%?
Brad D. Smith: Well, we haven't broken out each of the products' conversion rates for competitive reasons, but I will tell you that TurboTax is definitely doing much better than what I just talked about a few minutes ago.
Michael Millman - Millman Research Associates: And maybe somewhat related, could you talk about whether you think the online tax product competes with the retail product? And maybe you can talk about sort of the basis for what you're going to say and how that differs for existing versus new filers?
Brad D. Smith: Yes, Michael, I just want to make sure I understand the question. When you say the retail product, are you asking about desktop software or are you asking about tax stores doing tax preparation.
Michael Millman - Millman Research Associates: Sorry, the latter, tax stores.
Brad D. Smith: Okay. So yes, I would say first and foremost, if you look at the data that's been published by the IRS for the last half-dozen years, the tax software category, which is both desktop and online has been growing 6%. And the tax store category has been flat to declining. So that in and of itself lets you know that if 3 million to 5 million new filers come in and 141 million filers make a new decision every year, that it does indeed compete for those decisions and the online version of tax software is taking share. Our own data suggest, by the way, that the assisted tax category, tax stores and others, have actually lost 3 points of share to the do-it-yourself tax software category over the last several years. So I think, one, what we have seen is as there's more of a shift to Connected Services, people want to access tools online. You got the next generation of tax filers coming in looking at mobile devices. There's a natural tailwind towards a shift to digital services and that's playing out in the tax business as well.
Michael Millman - Millman Research Associates: I guess maybe quickly, do you think that a new or existing filer says every year, let me look at -- compare the 2 or do they typically have a major preference or maybe major bias going in?
Brad D. Smith: Well, I will tell you that our data suggest that their bias is increasingly looking online. And I'll just give you an analogue, Michael, because I was talking to someone about this yesterday. Just think about our own behaviors, how many of us now buy books at a bookstore versus go online and download them, and how many of us rent a DVD or a video from a video store versus doing a streaming video on pay-per-view and the same thing is happening as you move into taxes. People are less and less inclined to go into a store and more inclined to look for those solutions in a digital format. And I think that's what you're seeing play out as more new tax filers come into the market.
Operator: Our next question comes from Jim Macdonald from First Analysis.
James Macdonald - First Analysis Securities Corporation, Research Division: Could you talk about financial institutions accelerating growth and specifically what's happening moving into the larger institutions? And my follow-up is maybe you can give us an update on how your partnership with Salesforce.com as an app is going.
Brad D. Smith: Yes. Sure can, Jim. So first of all, in the Financial Services business, we are very pleased to see the continuing progress there. The Online Banking customers were up about 4%, Bill Pay up about 14%, we talked about Mobile Banking customers tripling over the last 12 months. Obviously you see the revenue growth in the quarter. We see that momentum continuing to get stronger and stronger as the business gets more focused and executes well. I will tell you something that we didn't mention in our earlier talk track, because of the question you asked, that we're focusing on larger institutions. Right now, we look at something called contracted end users, and that is the banks that we sell to and how many end-users do they bring with them when we convert them over to us. Our first quarter and second quarter of this year, what we have in our pipeline equals the full year last year of contracted end users. So the types of banks we're bringing in and how many end-users they have with them is just continuing to give us more opportunity to increase Online Banking and Bill Pay customers. So that's what's building the momentum. We're getting customers in, they're larger customers with more end-users and able to convert them and get them onto our solutions. I'll shift to Salesforce.com and this one's a shorter answer. We're still very encouraged about the opportunity, it's very early days for us. We're just getting the joint products in the market and so we'll have to stay tuned and see how successful this can be. But I think both organizations remain as enthusiastic as we were and we're just going to see the results and then we'll talk to you about the results when we have more to share.
Operator: Our next question comes from Sonya Banerjee from Jefferies.
Sonya Banerjee - Jefferies & Company, Inc., Research Division: I really kind of just wanted to ask a bit about QuickBooks. So in the past, we've heard a little bit about how the online version isn't at functional parity with the desktop products, which is intentional. But our fieldwork has suggested that desktop customers might be somewhat reluctant maybe to try the online product because of that difference. So I mean, where are you in terms of just flushing out functionality of the QuickBooks Online product? And I guess what are you doing to drive conversion of desktop users to the online products? And I guess I have one quick follow-up after that.
Brad D. Smith: First and foremost, we're not trying to drive customers in any direction. We want to make sure that we let the customers choose which products or platform they want to work with. And you're correct, we don't plan to have feature parity between the online version of QuickBooks or Desktop. However, what we are doing is we are enabling desktop customers to upload their data into the cloud and then to be able to access that data through mobile devices and online. So give them some of the benefits of having an online version with all the feature functionality of the desktop product. So for those who want a peer-hosted product, an online version of QuickBooks, then we obviously have that for them as well. And we're seeing that play out well for customers who want the full feature functionality, they're getting the data into the cloud, and for those that are wanting the anytime, anywhere access, they're signing up for the online version. And we think having the choice is the best thing for the marketplace. You said you had a second follow-up question.
Sonya Banerjee - Jefferies & Company, Inc., Research Division: Yes, just a quick follow-ups. So just as it relates to cross sales of additional product to QuickBooks Online, can you speak to any of the initiatives that you have around driving higher attach of ancillary product, for example, PaymentNetwork or anything like that?
Brad D. Smith: Yes, we can. We are earlier days there. We have Payroll that works with QuickBooks Online. We have payments that works with QuickBooks Online. You just alluded to something, which is the Intuit PaymentNetwork, which we originally had launched with the desktop version that we now also have working with Online. And we're looking at other services that work with Online as well. That is a very fertile field for us and if we grow subscribers 40% year-over-year and we add more attached services, that's just going to increase the lifetime value economics.
Operator: Our next question comes from Scott Schneeberger of Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: It's 3, I'll ask them upfront, but happy to repeat them. On the tax base, Brad, now that we're a couple of months past the Investor Day, what is your expectation for total tax industry growth in 2012? The second question, I assume you guys are going to, in the tax season, give unit metrics for TurboTax. Will that be 3rd week of March, April as it is in the past? And specifically, should we be focused -- will the comps be normalized by the time you report them in February or anything to keep in mind? And then question number 3, is your thoughts with H&R Block and TaxACT separate on pricing in the digital space this year?
Brad D. Smith: I want to tag team with Neil on this one. So I'm going to take the first and third and ask Neil to take the second. So first of all, on the number of tax returns going into the IRS, we believe that the tax returns are probably going to be at the neighborhood of a 1% increase year-over-year. That's our best guess. And right now, it can be anywhere between 1% to 2%, it maybe a little bit higher, a little bit lower. Did we share any forecast on that beyond that? So in that neighborhood of 1%, maybe 2% at the max. And that's pretty normalized. If you think about the digital pricing with H&R Block and TaxACT, I think what you're going to see is what you have seen in the past. It's a competitive playing field online. The entry-level price point for all competitors starts with free, kind of hard to get deeper than free. And the key comes down to who's the best at executing, has the easiest solution to use, and is able to deliver the maximum refund to a customer. And that's what we stay laser focused on, so I don't think we're going to see any massive change from a competitive dynamic perspective on pricing. What I do hope to see is a lot of people talking about the digital tax category and advertising it, because that will simply increase awareness of the category and get more people to raise their heads and realize they're paying 3x to 5x more going to a tax store than using software. And I hope that ends up being one of the outcomes of the highly competitive tax season.
R. Neil Williams: And Scott, to your point about releasing results through the season. Our plan is to continue on the same schedule we had as last year. We will talk about tax units and I would expect by the time we give our first release that the delay from last year would be normalized, it will be caught up and so you'd have a comparable comparison point-to-point.
Operator: I'm showing no further questions at this time. I'd like to hand the conference back over for any closing remarks.
Brad D. Smith: Okay, thanks, Sayeed. And I want to thank everybody for their questions. Obviously, we're encouraged by the solid start we have in the first quarter. I'm really energized by the momentum that we're seeing in Small Business for the seventh consecutive quarter of double-digit growth. Quite frankly, we're seeing strong progress across the company, so we're looking forward to our peak season in the next 2 quarters. And with that, we look forward to catching up with you sometime soon. Thanks again, and we'll talk to you in a little while.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect, and have a wonderful day.